FMC Technologies Inc. (NYSE:FTI):
Q4 2009 Earnings Call:
Executives: Robert Cherry - Director of Investor Relations Peter D. Kinnear - Chairman of the Board, President, Chief Executive Officer William H. Schumann III - Chief Financial Officer, Executive Vice President John T. Gremp - Executive Vice President - Energy Systems Robert L. Potter - Senior Vice President, Energy Processing & Global Surface Wellhead
Analysts: Rob MacKenzie - FBR Capital Market Edward Muztafago – Citi Geoff Kieburtz – Weeden Kevin Simpson - Miller Tabak Daniel Boyd - Goldman Sachs Joe Gibney - Capital One Southcoast Stephen Gengaro - Jefferies & Co Joe Hill – Tudor, Pickering, Holt
Operator: Good morning, and welcome to FMC Technologies Fourth Quarter 2009 Earnings Release Teleconference. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. (Operator Instructions). In the event of technical difficulties during this call, we will post updates on the company website www.fmctechnologies.com/earnings. Thank you. Your host is Rob Cherry, Director of Investor Relations. Mr. Cherry, you may begin the conference.
Rob Cherry: Thank you, operator. Good morning and welcome to FMC Technologies' fourth quarter 2009 earnings conference call. Our press release and financial statements issued yesterday can be found on our website. I would like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current views and assumptions regarding future events, future business conditions and the outlook for us based on currently available information, these forward looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. I refer you to our disclosures regarding risk factors in our SEC filings. I will now turn the call over to Peter Kinnear, FMC Technologies’ Chairman, President and CEO.
Peter Kinnear: Good morning. Welcome to our fourth quarter 2009 conference call. With me today are Bill Schumann, our CFO, John Gremp, who heads Energy Systems and Bob Potter, who runs our Energy Processing and Surface Wellhead. First, I'll share with you some highlights from our results. Bill will then provide you with details on our financial performance and an outlook for 2010 and then we'll open up the call for your questions. Given the challenging business environment of 2009, we're very proud of our strong fourth quarter and record full-year results. We were one of the few oil field service companies to have positive earnings growth in 2009. For the quarter, our diluted earnings per share was $0.75. Revenue from our subsea business was a record 822 million and the operating profit in our energy production segment was up 10% from the prior year quarter on the strength of our subsea business. For the full year, our total company operating profit reached a record $619 million. The end result for 2009 was diluted earnings per share of $2.87, an all-time high for our company and up 6% from last year. Our performance in the subsea in the fourth quarter was much like the first three quarters of the year. We had solid inbound despite the absence of large subsea projects and with 11 new trees and $411 million in subsea orders we matched our expectations for the quarter with the exception of the Petrobras second lot of standard trees. As you know, we announced this award two weeks ago and it will be recorded in our first quarter inbound this year. Our 2009 subsea orders, up 2.1 billion, were characterized by many non-subsea activities. We expect our subsea orders in 2010 to be significantly higher than 2009. Our expectation for 2010 subsea revenue is slightly under the $3.1 billion we achieved in 2009. This is based on converting a large percentage of our current subsea backlog and the balance of revenue coming from service related activities and new subsea orders. Just as a reminder, we recognize revenue using a percentage of completion accounting on subsea projects. We anticipate that our subsea backlog will grow by the end of 2010 to a level significantly above where we ended in 2009. Turning to the overall industry, the outlook for 2010 and 2011 remains very encouraging. In fact, it is consistent with the view we gave you last quarter. The macro trends in oil prices, the deep water rig fleet expansion and the need for oil companies to replace their declining production, all continue to point towards growth in subsea order activity in the next couple of years. We are especially encourage by the mix of customers we see in the list of potential orders with operators like Statoil, Shell, Total and Woodside returning to the market. In addition, Petrobras will continue to be a very active customer in 2010, ordering standard manifolds and pre-salt subsea trees. As for our other business, we expect incremental order activity in 2010 across all of them. The rebound in North America rig count and the improvement in pressure pumping activity should drive growth in our fluid control and surface wellhead businesses. However, we remain cautious about the sustainability of these trends. In summary, we had another solid quarter led by subsea. We continue to see increasing momentum in subsea project activity with awards expected to accelerate in the second half of this year and we are encouraged by the level of planned activity from operators like Petrobras, Statoil, Shell, Total, Exxon Mobil, ENI and Woodside. Now let me turn the call over to Bill Schumann who will provide you with further details on the quarter and our earnings outlook for 2010.
William Schumann:  Thanks Peter. Energy Production sales for the quarter were a record $989 million, up $16 million from last year. The growth came from subsea, which was up 4% and was partially offset by the decline of 6% in Surface Wellhead sales. Energy production generated operating profit of a $131 million in the quarter, up 10% from the prior year quarter due to a higher operating profit margins and the higher volume in subsea. The 13.3% margin we recorded in the quarter was in line with our previous guidance and we finished at 13.9% for the full year. For 2010, we expect the margin in this segment to be around 13%, which would still be over 50% higher than where it was just three years ago. Inbound orders in Energy Production were $585 million in the quarter, including subsea orders of $411 million. Backlog was $2.3 billion including subsea backlog of $2 billion. Energy Processing sales were $177 million, down 23% from the prior year quarter but up 7% sequentially. The sequential improvement was primarily driven by our Measurement Solutions business. The segment generated operating profit of $20.6 million, down 49% from the prior year quarter. Most of this decline was related to lower volume and margins in our fluid control business compared to a year ago. The fluid control business was essentially flat in terms of sales and profit sequentially. However fluid control did have a 19% sequential improvement in orders from the third quarter and we are beginning to see signs of recovery in volume in the first quarter. Total inbound orders for Energy Processing were up 3% from last year’s fourth quarter and up 22% from the third quarter of 2009. This sequential improvement was mainly due to the fluid control order growth. Backlog at the end of the quarter was $221 million down slightly from last quarter. Now, for the corporate items; corporate expense in the quarter was $10.2 million, which was up from last quarter primarily due to legal and professional expenses associated with our pension plan restructuring and acquisition activity. Other expense net of $5.4 million decreased $16.4 million from the prior year quarter. Last year we recorded losses on foreign exchange of $8.3 million and an unfavorable LIFO adjustment of half million. This quarter we recorded foreign exchange losses of just $3 million and a favorable LIFO adjustment of $6.5 million together accounting for $12.3 million of the decrease in other expense. Pension expense was 4.7 lower than the prior year quarter, due primarily to the absence of loss of costs related to executive retirements that we had in the fourth quarter of 2008. Tax rate for continuing operations in the fourth quarter was 30.3%. We expect this rate to be slightly up in 2010. At the end of the fourth quarter, we had a net cash position of $41 million, comprised of $461 million of cash and $420 million of debt. We averaged 124.6 million diluted shares outstanding in the quarter, and we spent $21.5 million to repurchase 376,000 shares of common stock. For the full year, we spent $156 million to repurchase 4.3 million shares of common stock. We now have 5.4 million shares remaining in our board authorized stock repurchase program. In the quarter, we spent $34 million for capital additions putting us at $110 million for the full year. We expect capital spending to be around $140 million for 2010. As Peter mentioned, we expect to see an improved year for subsea orders in 2010. We’re confident that given where oil prices are and the number of contracted deepwater rigs, it’s just a matter of time before more large subsea projects materialize. In surface wellhead and fluid control, we've seen evidence of a rebound in North American activity driven by higher rig count. However, it's still too early to judge the sustainability of this rebound. In the other processing businesses, material handling will suffer in 2010 from power project delays and cancellations. The other two businesses should see some improvement in orders as we enter 2010 with much lower backlogs. Factoring all of this together, we estimate that our 2010 diluted EPS will be in the range of $2.45 to $2.65. Our expectation is that order activity will increase significantly in 2010, and will allow us to grow backlog by the end of the year. Operator, you may now open up the call for questions.
Operator: Your next question comes from Robert Mackenzie – FBR Capital Markets.
Robert Mackenzie – FBR Capital Markets: I wanted actually go away from subsea for a second, Bill, to some comments you made or you, Peter, about the process system segment and your questioning sustainability of orders for the fluid control business. Can you give us some more color on that, particularly in the context of what seems like a sustainable higher levels of activity and continuing to grow in the shale gas plays which as you know tear up drilling [ph] iron quite fast..
Robert Potter: Clearly, we are benefiting from the higher rig count and the trajectory of that higher rig count that we have seen since the beginning of the year. It is the higher rig count that’s embedded in our outlook. So we are encouraged, there is no question about that but we like everyone else I think are somewhat cautious about what might happen to natural gas prices at the end of the cold weather season. And we are seeing the benefit you mentioned, the equipment being torn up, that’s absolutely true, the higher frac rates, the longer laterals, the higher pressures, more abrasive frac fluids are wreaking havoc on a lot of the equipment particularly in the Haynesville and Marcellus areas and we are benefiting from that. But the other side of the equation is the fact that while things are improving and we are optimistic, the natural gas directed rig count is still 45% I believe off its peak of 2008.
Robert Mackenzie – FBR Capital Markets: Coming back then to subsea, Peter what has changed in terms of what your customers have been telling you, indicating to you about timing and/or number of big projects you expect to see going forward?
Robert Potter:  Well, I think over the last couple of quarters, we see our customer base beginning to mobilize project teams to look at various projects in terms of proceeding with development. So we get a lot of indications early as they start to do those early activities and get ready in terms of actually asking us for firm proposals. So, we're pretty encouraged certainly with the oil prices at the level they are, we're encouraged that the industry added 22 new deep water rigs this year in ‘09 to the fleet. And the oil companies are kind of always on the treadmill with declining production they’ve got to replace. So, we see very positive signs that the industry is now going to go back and spend more. I think the initial look at the budgets were relatively positive, varied by oil company. But we saw pretty strong, good indications of higher spending in ‘010 versus ’09. So, in that way, we just have a lot of encouraging signs out there in terms of offshore deep water projects, and I guess it could be the timing. The timing is a little bit difficult for us to predict as to when they pull the trigger on an individual project.
Rob MacKenzie - FBR Capital Market:  My last final question would be can you give us an update on the status of the Marlim Separation Project and concurrent with that how does the prospect queue look? Any new projects there for separation?
Robert Potter:  Just on Marlim real quick, I mean we just received that order and we’re still doing the engineering and design work. So, I think the installation is probably targeted late '010, early '011. So, we won't have anything in the water until that timeframe. And John can maybe comment on the other part. John?
John Gremp: Rob, the future of subsea processing projects, as you know Marlim was the only one that was awarded in 2009. But looking at 2010, the Total CLOV Project in Angola includes separation and boosting. So that should be awarded this year. There's BC-10, Shell BC-10 Phase 2 which should be awarded this year, that includes separation and boosting. Petrobras Cascade Phase 2 in the Gulf of Mexico, that includes boosting. And then there's a Petrobras project Congo, I don't know if that will actually happen in 2010 but that also includes boosting. So for 2010, we've got three or four real commercial opportunities for processing awards, which compares to the one in 2009 for Marlim.
Operator: Your next question comes from Edward Muztafago – Citi.
Edward Muztafago – Citi: Just real quick, wanted to focus on Energy Processing a little bit. And the margins here were little bit below what we were expecting. Can you guys talk a little bit, I mean was that predominantly pricing, was there any mix effect in what went on with margins this quarter?
William Schumann:  One of the things that did occur is the acquisition of DDS, which is now in that segment. So that took just a little bit out of the margins in the quarter. But the primary thing that has happened over the past year has been the lower volume of fluid and lower pricing in fluid. So we've got kind of a double whammy there. The other businesses actually held up rather well in 2009. Now as we roll into 2010, we think we’ll get some of the volume back in fluid. We're not forecasting we are going to get much price back and we are still going to have some dilutive effects from the acquisition of DDS in the segment. And the other businesses, loading and measurement will do fine and material handling as we mentioned, there has been a number of major power project delays and cancellations, so that will be down. So net-net, we don’t see a big change in margins in 2010 in the processing segment.
Edward Muztafago – Citi: 
 :
William Schumann:  We think it’s going to be about where it was in 2009.
Edward Muztafago – Citi:  I guess just my second question is just sort of in terms of the outlook for subsea pricing, I mean some of your competitors have suggested that the pricing outlook there is still challenged or still very competitive. But I am wondering in particular, when we look at you and your largest competitor, Cameron, you guys really for all intents and purposes have the deep and the ultra deep water markets locked up. I think you do – have done at least historically about 98% of the ultra water deep water awards and about 60% of the deep water. Does that create a little bit of a differential sort of pricing outlook for FTI and maybe your largest peer?
Peter Kinnear:  I am glad we have it locked up. It seems to be more competitive than that. But prices have declined as we have mentioned through 2009. And we've had a number of experiences where we've been a little bit surprised by the pricing in the marketplace. To the extent that continues, that part of our guidance for 2010 and as we go towards the tail end of 2010 and we’re executing more contracts that have been priced in an environment, we expect our margins to decline a little bit more. To the extent that it continues -- we believe with the large amount of orders that we foresee in the second half of 2010, that the pricing pressure will alleviate and we should see prices come back up.
Operator: Your next question comes from Geoff Kieburtz – Weeden.
Geoff Kieburtz – Weeden:  I think you've answered most of my questions actually but got two to follow-up on. I think you made it clear, you've got a - question about the sustainability of the turnaround in processing and I think you've gone through the detail on production system pretty clearly. What’s the biggest factor that’s going to determine whether 2010 is closer to the 245 or closer to the 265 (inaudible)?
William Schumann: 
 : But the pace of orders in subsea is another one. If somebody's orders are pushed out to from the third quarter to the fourth quarter, we’re not going to get as much effort into it and that’s going to move it a little bit. And then of course we've always have execution, particularly within subsea. So those are probably the three big issues that we are looking at, two market and one internal.
Geoff Kieburtz – Weeden: You are saying that the North American rig count stays similar to what it’s today you would be at the high end of the range?
William Schumann:  Well, yes. Well, assuming that subsea orders come in, we have the kind of execution and right.
Geoff Kieburtz – Weeden: What percentage of the current subsea backlog you expect to shift or let's not say shift, do you expect to convert to revenue in 2010?
William Schumann:  About 80%. So to help with you arithmetic, so we ended the year with $2 billion in backlog. So of that $2 billion, 1.6 million [ph] will turn into revenue in 2010.
Geoff Kieburtz – Weeden: The reminder, that brings you up close to the $3 billion for the full year.
William Schumann: We have a customer support business that generates 600 million, maybe 700 million, as much as 700 million a year. And then the remainder is what we call book and turn, orders that we will receive in 2010 that we will begin execution on in 2010 and that’s where some of this timing is going to impact us. If it gets pushed towards the end of the year, it's obviously going to be a smaller amount than if it gets awarded in the middle of the year.
Operator: Your next question comes from Kevin Simpson - Miller Tabak.
Kevin Simpson - Miller Tabak: Just hoping to maybe quantify some of the soft statements, I’m assuming slightly, is something in the mid single digits in terms of the decline for subsea revenue.
William Schumann:  Yeah, that’s correct, Kevin.
Kevin Simpson - Miller Tabak:  Okay, and I think tax rate, Bill, are we in the low 30s or -?
William Schumann:  Yeah, we are in the low 30s, right. Yeah, we were around 30% in 2009. We’ll be a little bit higher than that, not much.
Kevin Simpson - Miller Tabak:  Okay, and the reasons for that – does that…
William Schumann:  Well, part of it’s country mix, as the U.S. comes back, we can generate more income in a higher tax jurisdiction. We are also -- we are accruing taxes I should say, on some foreign income that is not permanently invested offshore. So those two components are increasing the tax rate.
Kevin Simpson - Miller Tabak:  And then, just broadly the subsea pricing is still is a big issue with everybody. With these larger projects, are you feeling initially something like CLOV and then some of the others afterwards that you’re going to have to price lower than what you have been pricing for business over the last three to six months?
Peter Kinnear:  Kevin, it’s Peter. I would say we’ve seen lower prices, but as we’ve talked before, we’ve driven for significant internal efficiencies in terms of our internal execution on the projects as well as our supplier base to drive down our cost basis. So while the prices have come down, we've also lowered our cost to offset the impact of just a situation where it's 100% pricing. And so that's where we're today.
Kevin Simpson - Miller Tabak: Just two quick other ones, one is, are you going to book the whole $400 million from that frame or just part of that as backlog in the first quarter?
Robert Potter: Kevin, we will just back -- we will record 70% of it. That's the guaranteed portion. So that will be about a $280 million in the first quarter.
Kevin Simpson - Miller Tabak: One for John, the first separation systems for the first BC-10, I assume are out and working, and how are they performing and what are you learning from them?
John Gremp: The Shell BC-10, the separation and boosting systems were installed late last year. They were fully commissioned by Shell and they worked just as planned. So they're thrilled, and so are we, because it's the first application of this technology subsea and it's similar technology that Shell Perdido will use in the Gulf of Mexico. So it's great news that the system worked as planned.
Operator: Your next question comes from Daniel Boyd - Goldman Sachs.
Daniel Boyd - Goldman Sachs: I just want to circle back on energy production margins. Did I hear you correct in saying that you're expecting 13% for 2010?
William Schumann:  Right.
Daniel Boyd - Goldman Sachs: Can you help me understand that the progression there? I know clearly lower prices are rolling through, you've cut your cost base. So is it a matter of mix, shift in mix that helps keep those margins flat from where they are today as opposed to declining further?
William Schumann: Well, yes. We had a great second quarter and third quarter 2009. And that was caused by better execution and good prices and some kind of catch up margins, if you will, from previous times. But as we look forward, we still got a pretty healthy backlog that has some decent prices in it. But we are not going to be able to realize the kind of margins that we did in the second and third quarter. And as we go through the year, we would expect the margins to decline somewhat as we have more business that has been priced in the current environment as opposed to the environment of 2008.
Daniel Boyd - Goldman Sachs: Even under that scenario, I feel like holding them flat from the fourth quarter level is still a pretty good achievement as you -- So, I would assume there is still some efficiency gain that you have in your operations to offset the impact of pricing?
William Schumann: We are continually driving down cost, getting things more efficient, standardizing things. And one of the things that we’ve talked about in the past, we’ve been growing at 25% to 30% for five years and we come into this year and we didn’t have that kind of growth and we were able to do things much more efficiently without the pressure of growing this year, get our systems in better shape, have the engineers doing things for the third time rather than the first time. And it’s just a tremendous amount of efficiencies that have transpired this year that we are going to be able to capitalize and realize in the future and that’s part of our guidance.
Daniel Boyd - Goldman Sachs: Okay, and then lastly just on -- I understand backlog or orders in subsea are going to be backend loaded and backlog will be up year-over-year. But how should we think as backlog – as you work off the backlog, what order level or what backlog level would you need to keep revenues flat? Well, what backlog level do you need to exit the year in 2010 to keep revenues in subsea flat in 2011? A range will be very helpful.
William Schumann: I'm sorry. What backlog do we need to keep revenues flat in 2011?
Daniel Boyd - Goldman Sachs: Yes, what level of backlog do you think you need to exit the year to keep revenues flat in subsea even into 2011?
William Schumann:   Well, we expect revenue obviously to be down in 2010. We expect backlog to build fairly significantly at the end of the year, and we would assume that revenues will be up significantly in 2011 based on the exiting backlog, which could be as much as $4 billion.
Daniel Boyd - Goldman Sachs: Okay that’s actually almost exactly in line with what we have, just wanted to hear you say it, so appreciate it.
Operator: Your next question comes from Joe Gibney - Capital One Southcoast.
Joe Gibney - Capital One Southcoast: Bill, just a couple of questions for you, was just curious, embedded in your guidance expectations next year, how should we be thinking about corporate and other expense line items? I know they can dance with forex, but what are some of the underlying assumptions there? And I was also curious what the forex impact was on subsea inbounds for the quarter? I believe in 3Q it provided about $145 million tailwinds, just curious what it was here in 4Q?
William Schumann:  Okay, let me give you some guidance on the corporate items. First of all, corporate staff will be about the level in 2010 that it was in 2009. And hopefully we'll pass through a normal year in foreign exchange in 2010 but for OID or net expense other modeling about $11 million a quarter. You got to give me a break there because we are kind of probably plus or minus four or five million each quarter on that. That will move around. Now turning back to foreign exchange and its impact on backlog and orders, there really wasn’t much change in rates in the fourth quarter. It actually, the backlog translation in our orders added $23 million to our orders in the fourth quarter. For the full year, it added $363 million as the dollar weakened during the year. And of course, last year, we had lost $593 million in terms of orders, again from a strengthening dollar in 2008. If you go to the income statement, the fourth -- the dollar weakens fourth quarter of 08' to fourth quarter of 09' and that actually improved our sales in the fourth quarter by $110 million and $7 million of EBIT. Year-over-year, we kind of got the reverse happening, the dollar was actually stronger in 2008 than it was in 2009 and that reduced our sales by $355 million for the full year and EBIT by $42 million for the full year, that’s 2009 compared to 2008.
Joe Gibney - Capital One Southcoast: John, question for you. Just curious if you could shed a little light on the Petrobras manifold order, it seemed to be rumored to be going away and perhaps coming back in a smaller more highly specialized form and now the chatter’s been that it’s certainly back on track maybe in its original form. I’m just curious if you could comment on the status of that and maybe some of the expectations. I’m assuming that this is falling into the second half expectations for subsea, but just curious on how that’s progressing?
John Gremp:  Well, it’s actually it’s progressing pretty well. Our discussions -- and you know the Petrobras process is always hard to predict, but when it comes to the manifolds, our discussions with Petrobras have been moving along nicely. I think maybe what you are referring to is our discussions with Petrobras, they are very focussed on the specific specifications for two of the potentially eight manifolds. And what that means to us, what we interpret that to mean is, they’ve got immediate requirements for those manifolds, which is why they are being as specific as they are on the design. So that would suggest us that it would move maybe sooner rather than later and in fact I think the manifold award, we would be thinking of in the first half of this year and not the second half.
Joe Gibney - Capital One Southcoast:  And one last one, Peter or Bob, perhaps just address the surface market a little bit. I appreciate the color, understand the turn on the shorter cycle North America. I’m just curious what’s happening internationally on the surface. I know this accounts for the lion’s share of your mix on surface and I think prior expectation last quarter was a little bit more sluggish in the recovery versus the North America side. I’m just curious on thoughts there? I appreciate it.
Robert Potter:  Yeah, this is Bob. As you mentioned surface internationally accounts for about 70% of the volume in that product line and it continues to go well. We had pretty good inbound orders in Q4, which began to replenish some of the backlog that we had consumed throughout '09 with what amounted to record years in our international surface operations. So things are still looking favorable, most of the big orders and some of the major basins are progressing. And then just briefly on North America, clearly as a result of the improved rig count, we're seeing the benefit of that. Operators that had substantially reduced their operating rigs in 2009 have begun to put them back to work at a very encouraging level and we're benefiting from that increase, again very consistent with the rig count both in the U.S and in Canada, I might add.
Operator: Your next question comes from Stephen Gengaro - Jefferies & Co.
Stephen Gengaro - Jefferies & Co.: You've answered most of my questions. But I was curious, can you -- as it pertains to the margins on the subsea side, can you give us some thoughts on how the Brazil work plays into that and what you've done down in Brazil as far as efficiencies and I know the pricing down there is pretty competitive and how we should think about that impact as it rolls through the margins?
William Schumann: First of all, we've been in Brazil for over 50 years and have a substantial staff of just over -- I think it's about 1,200 employees. And we've been manufacturing there for a long, long time. So we've supplemented that with our global engineering system for standardization of components, we've standardized the facility with our SAP implementations. And we supplement that also with our global procurement of staff for the components. As you know, we are required to have 60%, 70% local content. So there are certain items we can go to the international markets, so obviously for others we have to go to the local markets in terms of components. Your comment is probably, right. I mean we see Petrobras’s procurement strategy is kind of to go out to bid and pick the low price, qualify everybody initially and then go out with the low price. So we see a little bit higher intensity in terms of the pricing there. But certainly the flip side is like Marlim was a negotiated contract, when somebody has a technology advantage, and they are willing to negotiate the contract, so it’s kind of a mix. I would say, as they go into the pre-salt, that’s more sophisticated equipment, they would be very cautious as to who they qualify for bidders and that sort of thing. So it kind of varies back and forth depending on the particular project.
Stephen Gengaro - Jefferies & Co: Just as a followup, you mentioned margins in general on the energy production side. Is there any sort of quarterly jumps that we should expect based on what’s going through the backlog or is that number just going to move around because of noise throughout the year?
William Schumann: Yeah, it’s just going to move around. We can’t forecast anything really.
Operator: (Operator Instructions). Your next question comes from Joe Hill – Tudor, Pickering, Holt.
Joe Hill – Tudor, Pickering, Holt: Guys, given the commentary around pricing in subsea and potentially a little bit less pressure in the back half of this year, if I weigh the backlog pricing versus inbound pricing what does 2011 look like relative to 2010 in terms of margin?
William Schumann: Well, the margin we’re executing could be lower in 2011 than 2010. But we’re kind of speculating on what the prices are in the second half of 2010 when we give that guidance, but relative to where prices were in 2008, they were probably be lower.
Robert Potter:  But again we’re offsetting some of that with better raw material prices, better internal execution so the prices are down but it's not totally impacting our margin. So you've got to factor in both sides.
Joe Hill – Tudor, Pickering, Holt: Okay. Bill, I think you gave book-to-bill guidance for the fourth quarter of one, and then we had the Petrobras standard tree contract slip to Q1. Would you anticipate subsea book-to-bill being north of one for the first quarter given that you’ve got that award inked this quarter?
William Schumann : 
. :
Joe Hill – Tudor, Pickering, Holt: Okay, and then finally Energy Processing backlog looked like it was potentially bottoming out in terms of rate of change here. Do you think that business could see a backlog build in the first quarter?
William Schumann: Certainly from fluid control, we would expect to see a build. The rest of the businesses, yeah, we could see it. I mean it looks like it's primarily driven by fluid control.
Operator: At this time, there are no further questions. I will turn the call back over to Rob Cherry for any closing remarks.
Rob Cherry: Thank you, operator. This concludes our fourth quarter conference call. A replay of our call will be available on our website beginning at approximately 02:00 pm Eastern Time today. If you have any further questions, please feel free to contact me. Thank you for joining us, and operator, you may end the call.
Operator: Ladies and gentlemen this does conclude today’s conference. Thank you for participating, you may now disconnect. 